Operator: Good day, ladies and gentlemen, and welcome to the FuelCell Energy Fourth Quarter 2015 Results Call. At this time, all participants are in a listen-only mode. Following the speakers remarks, we will host a question-and-answer session and instructions will follow at that time. [Operator Instructions] I would now like to turn the call over to Kurt Goddard, Vice President of Investor Relations. Sir, you begin.
Kurt Goddard: Good morning, and welcome to the fourth quarter 2015 earnings call for FuelCell Energy. Yesterday evening, FuelCell Energy released financial results for the fourth quarter of 2015. The earnings release, as well as a presentation that will be referenced during this earnings call, is available on the Investor Relations section of the company website at www.fuelcellenergy.com. A replay of this call will be available two hours after its conclusion on the company website. Before proceeding with the call, I would like to remind everyone that this call is being recorded and that the discussion today will contain forward-looking statements, including the company's plans and expectations for the continuing development and commercialization of our FuelCell technology. I would like to direct listeners to read the company's cautionary statement on forward-looking information and other risk factors in our filings with the U.S. Securities and Exchange Commission. Delivering remarks today will be Chip Bottone, President and Chief Executive Officer and Mike Bishop, Senior Vice President and Chief Financial Officer. I would now like to turn the call over to Chip Bottone. Chip?
Chip Bottone: Thank you, Kurt. Good morning, everyone, and welcome. Please turn to Slide 4, recent highlights. Recent highlights include orders from repeat customers in our utility and on-site markets. In addition, we are executing on key strategic initiatives such as advancing our finance capabilities, expanding our global manufacturing capacity and developing new markets for our solutions. In November, we announced jointly with our existing utility customer, United Illuminating, that we will install a utility owned multi megawatt fuel cell power plant configured as a micro-grid. Our solutions are well suited for micro-grids a market with significant potential. We have the expertise to model, build and operate micro-grids, a unique capability and important differentiator. In October, we announced that we will install a 1.4 megawatt power plant for an existing customer Alameda County, California. The County will purchase power and heat under a 20-year power purchase agreement or PPA. Project like this demonstrate our ability to create real value for customers. They also demonstrate our ability to finance power projects and offer attractive financial options for our customers. These projects have contributed to our expanding total backlog of $381 million increasing both sequentially and year-over-year. Advancing power project finance is a key element of our business strategy. We continue to access new sources of capital providing our customers and our company with greater financial flexibility and returns. As we just announced, PNC Energy Capital extended the $30 million leasing tax equity facility. This facility provides capital for us to retain ownership of select projects while efficiently monetizing tax benefits. We are pleased to have a relationship with world class entity like PNC. In 2014, a $40 million committed five-year project finance facility was extended by NRG Energy. This provides construction period financing and project finance for terms up to five years. We now have access to two project investment credit facilities. Our growing ability to attract private capital for development is the result of initiatives undertaking previously to strengthen our business model and reflects the FuelCell energy value proposition. Advancing project finance capability supports our ongoing progression from equipment supplier to project developer and seller of energy. Access to capital broadens the available opportunities for us to develop projects and to accelerate adoption of our clean and affordable solutions. These facilities also demonstrate our progress in decreasing the cost of capital. We continue to strengthen and optimize our global manufacturing operations, reflecting increased interest in our solutions, high levels of market activity and anticipated future order flow. Recently, we began the first phase of a planned expansion of our North American manufacturing facility which will lead to both operating savings and capacity for continued growth of the business. Intellectual property and advanced leading technologies developed by FuelCell Energy are included in over 80% of the FuelCell applications in the world. Recent announcements on carbon capture, solid oxide, power generation and storage reinforce our leadership in the industry. We are leveraging both public and private capital to commercialize these opportunities. We are currently in discussions with select coal plant operators to site a multi megawatt power plant adjacent to an existing coal fired power plant for both carbon capture and power generation. We are progressing our solid oxide technology for power generation and storage applications are in discussions with potential site hosts. I will discuss these results in more detail after Mike Bishop, our Chief Financial Officer, reviews our financial results. Mike?
Mike Bishop: Thank you, Chip. Good morning and thank you for joining our call today. Please turn to Slide 5 titled Financial Summary. FuelCell Energy reported total revenues for the fourth quarter of 2015 of $51.5 million, compared to $54.4 million for the prior year period. Gross profit for the fourth quarter of 2015 totaled $3.1 million, compared to $6 million for the same period last year. The gross margin percentage in the quarter was 6.1%, compared to 10.9% in Q4 2014. Total operating expenses were $11 million for the fourth quarter of 2015 comparable to the prior year period. Net loss to common shareholders for the fourth quarter was $9.7 million or $0.38 per basic and diluted share. This compares to $5.5 million or $0.24 per basic and diluted share in the fourth quarter of 2014. The per share net loss figures for both periods are adjusted for the 1-for-12 reverse stock split completed in early December. This action was undertaken pursuant to the shareholder approval granted in April 2015. Our 2015 proxy season explains the reasons for the reverse split and the expected advantages to the company and our shareholders. The company's total liquidity at October 31, 2015 was $123 million consisting of $85.7 million of cash and cash equivalents including restricted cash and availability of $36 million on a project finance facility extended by our partner NRG Energy. The cash balance at the end of the fiscal year does not include $10 million received from the State of Connecticut Department of Economic and Community Development in the month of November under an assistance agreement loan for the first phase of our North American manufacturing facility expansion. Backlog increased sequentially for the second consecutive quarter totaling $381 million. Backlog includes product sales orders of $91 million or 41 megawatts. Service backlog totaled $254 million and advanced technology contract backlog was $36 million at the end of the fourth quarter. Turning to the inventory and project assets graph at the bottom of the slide, inventory came down in the quarter as we converted the sales of power plants and modules. Long term project assets is a new account classification added on the balance sheet this quarter to reflect projects under a new power purchase agreement or PPA that we expect to retain for a period of more than one year. This includes a previously announced 1.4 megawatt project at the University of California Irvine Medical Center. Please turn to Slide 6 titled Financing Structures. This morning the company announced a new project finance facility with PNC Energy Capital. PNC will provide financing through sale leaseback transactions. This provides long term financing for projects that we will build, operate and sell power directly to customers under PPAs. This slide highlights the three different structures for developing projects and the financial statement impact and timing of each. The examples on this slide are indicative of a 1.4 megawatt project. Depicted on the left is a representative sale to the end user of the power such as the recently announced micro-grid project with United Illuminating or the sale to European Utility, E.ON In the middle is a representative sale to a project investor such as NRG Yield's purchased of the University of Bridgeport project. And on the right are projects that we plan to develop and retain on balance sheet. Revenue recognition varies under each of these structures. A sale to an end-user is percentage of completion for product sales plus revenue recognition over the term of the service agreement. Under the new sale leaseback structure, there is no product sale as we retain ownership of the PPA and recognize revenue from the sale of power over the life of the project. The service revenue profile changes to electricity sales recognized over the life of the project resulting in higher total revenue. The sale leaseback structure can generate more cash for the company at the commercial operation date or COD by efficiently monetizing tax benefits. As shown on the slide, margins rise as our involvement increases. We capture value from developing a project rather than just being an equipment supplier and even more value is recognized from project ownership. So to highlight the call out boxes on the right, retaining project on balance sheet can drive a more beneficial cash revenue and margin profile. The company has a pipeline of PPA projects, which will be marketed during the construction period. Depending on market terms at the time, the company may choose to either sell or retain the PPA project at the COD date. Access to capital such as the $40 million NRG construction finance facility and the new $30 million tax equity facility with PNC provides the company with a project finance platform to help support our growth. Please turn to Slide 5 titled Financial Model. Now I would like to address financial modeling and guidance. For fiscal year 2016, total revenue is forecasted to be in the range of $170 million to $210 million. Sales mix impacts quarterly revenue with complete power plant sales in North America and Europe leading to higher revenue than comparable megawatt sales to Asia. First half revenue for 2016 is forecasted to be weighted towards sales to Asia and PPA structures with the total fourth quarterly revenue forecasted to be in the range of $30 million to $40 million. Second half revenue is expected to be higher with more complete power plant sales, but is dependent on the timing of converting new contracts from our pipeline. As backlog supports with an increase of in production levels to 100 megawatts annually, total revenue could range between $350 million to $450 million depending on sales mix. Gross margin has improved over time due to a variety of cost reduction drivers including product designs, manufacturing process efficiencies, lower global supply chain cost, a growing service fleet and decreasing cost of capital. Continued progress in these areas combined with improving sales mix is forecasted to result in average gross margins growing to the range of 9% to 12% for the full fiscal year. Margins are expected to continue to expand beyond 2016 with continuing favorable sales mix. Operating expenses in 2016 are expected to grow nominally with the roll-out of near term product development. Capital spending in 2016 is expected to grow to $16 million to $18 million as we expand our Torrington manufacturing facility. This is partially offset by the $10 million of financing received from the State of Connecticut, thus on a net basis, annual capital spending is consistent with the last couple of years. In summary, the company is well positioned for future growth with access to capital and an attractive value propositions to customers and project investors. I will now turn the call back to Chip. Chip?
Chip Bottone: Thank you, Mike. Please turn to Slide 8 Preferred Power Generation. I’d like to share with you some insight as to why recent customers chose our solutions, the evolution and positioning of our offering and comment on the high level of activity that we have developed. Utility owned micro-grid projects are interesting in many ways. Town wide micro-grids are being pursued in the Northeast to mitigate extended storm related power outages. This new multi megawatt project with United Illuminating powers critical facilities in the town. The power plant will be located at a high school and will be the only power source for this micro-grid, highlighting the value of the reliable power generation in FuelCell. We will design, build and operate the micro-grid. If single source to execute and operate assures the exceptional value offered by this type of application is realized, this project is replicable for public and private businesses. Fuel cells can be the sole power source for micro-grids as the application illustrates. This can also be combined with other forms of power generation such as intermittent solar power as illustrated by a number of other micro-grids that include our FuelCell solutions already. Also, our solutions are an example of local economic development contributing to both the municipal and state tax base with property, sales, payroll and income taxes. The county of Alameda, California or repeat on-site customer, will be installing a 1.4 megawatt power plant in CHP configuration at the Santa Rita Jail. Under a 20-year PPA, our customer makes no upfront capital investment and pays on a per kilowatt hour basis only for the power produced at a price that is lower than the electric grid. Our PPA structure is ideally suited for customers that want to realize compelling operating savings without investment of their capital. Integrated with an existing solar array, the Santa Rita installation demonstrates the suitability of fuel cells producing mixed clean energy projects, as our operating characteristics enhance the customer’s power reliability and on-site power density. As demonstrated by these recent project commitments, our ultra-clean solutions are a preferred resource for customers in multiple markets, their unique combination of desirable attributes combined with our ability to offer financially attractive options, leads to a compelling value proposition. Our distributed generation solutions are value multipliers. The customers require an affordable and environmental friendly energy, reliable, efficient and cost effective. They simultaneously solve customer's business energy and environmental challenges while helping them meet their sustainability of energy objectives. FuelCell installations are the small footprint and low noise profile, so minimal land is required. Clean, compact and very quiet, there are deal for densely populated areas in cities. They are supported by improvement project development expertise, service capabilities, access to project financing and our reputation for successful execution. The strong value proposition or reputation increasing resources of our commercial team including sales, applications, project management and legal are increasingly opening up new and expanded opportunities. Our project pipeline is in all-time high. We are actively bidding into the developing projects for planned utility scale RFP's across United States. We are also actively developing and have negotiations underway for megawatts scale behind the meter projects which includes micro-grids at large business to business opportunities. In California, we expect to bid renewable biogas utility scale project into utility issued RFP’s. They are newly released programs that are well positioned for us as well. We have a large pipeline of megawatt scale projects and development. In New York State, opportunities include utility issued RFP to address constrained load pockets within the utility service area and our expectation of utility scale clean energy RFP for Long Island will be continued to advance the development of multiple FuelCell projects. New York is also looking to implement a statewide micro-grid program. A tri-state RFP for clean, renewable power was recently issued jointly by the States of Connecticut, Massachusetts and Rhode Island. We provided comments when request for information was published along with our development partner for the 63 megawatt Beacon Falls Energy Park project in NRG. Bids are due in January 2016 and the Beacon Falls project will be bid into the RFP. Development of the 63-megawatt Beacon Falls Park in Connecticut continues to progress. This high profile project is advancing through Siting Council review process and continues to win legislative support at the local, state and federal levels. The states two federal senators and three federal representatives jointly issued a letter to the counsel in support of the project. The Siting Council's direct decision is expected in early January. We expect to have contracts for the overall project finalized by the bid date in January underscoring our ability to execute if awarded the project in 2016. O&G Industries is the project developer and landowner. FuelCell Energy is the fuel cell supplier who operate, maintain the power plants. Construction is expected to begin in 2016 assuming a favorable outcome from the Siting Council and if selected the project will be implemented in multiple phases. In addition, we also continues to develop multiple utility scale fuel cell parks in Connecticut they maybe bid into the tri-state RFP or separate Connecticut RFP that will be - we anticipate will be issued in 2016 from renewable projects between 2 and 20 megawatts. In Germany our megawatt project with E.ON is under construction in accordance with plan, commissioning in mid-2016. Favorable legislation we just recently passed, supporting FuelCell Combined Heating Power or CHP applications. We are focused on numerous megawatt class on-site CHP FuelCell projects in Germany and other select European countries including the United Kingdom and Italy. Please turn to Slide 9 Global Operations. A key element of our manufacturing strategy is the use of common FuelCell components used globally across our broad applications portfolio including on-site power, utility grid support, carbon capture and distributed hydrogen solutions. This streamline manufacturing processes and enhances operational efficiencies. We held the ground breaking of our North American manufacturing expansion on July 19. Connecticut's Governor Malloy and other dignitaries were in attendances to be recognized for their support. Phase 1 will generate cost reductions. We will enhance and streamline logistics functions and manufacturing processes and prepare for subsequent capacity expansion in Phase 2. The second phase will be undertaking as backlog supports. During the ceremony, we highlighted the favorable economic impact of the state of locating clean energy projects within Connecticut such as the Beacon Falls Energy Park versus procuring energy in a distant location in transmitting it here via a costly power lines. In-state manufacturing is a positive differentiator that supports economic development. We closed on the $30 million assistance agreement with the Connecticut Department of Economic and Community Department. The financing package includes partially forgivable low interest long term loans from the state. We believe we are being prudent in beginning this expansion and leveraging state financing now because additional capacity will be needed to execute on the FuelCell Park's carbon capture installations and other large scale projects we are pursuing. In Asia, POSCO Energy's manufacturing facility in South Korea is now operational and joint supply chain purchases are scheduled for 2016. Our versatile common technology platform allows us to address a range of markets and geographies with sizable potential. We are advancing product variance to serve diverse markets with financial support for both government, funding and sources of private capital. We are enhancing our solutions to meet desired needs by strategically investing resources into new offerings and enhancements including those for our utility customers. Our daily dispatch option for utilities scale applications has been released. This allows generation assets to vary electrical output based on actual power needs. This capability preserves the environmental and efficiency advantages of our solutions, while improving economics versus traditional technologies and supports increasing intermittent solar deployment. We’re advancing our high efficiency fuel cell or HEFC product. A derivation of our core technology, the high-efficiency fuel cell increases electrical efficiency to 60% which lowers our levelized cost of electricity for applications that value clean and renewable energy electricity likes utilities and data centers. In our carbon capture market, we are working to structure 25 megawatt project in two phases at a coal fired power plant in North America. We are advancing discussions with utility owners of coal-fired power plants. We expect to proceed with the project in early 2016. We have the strong value proposition in the recent favorable developments from the climate summit in Paris adds further the global interest. In our distributed hydrogen market, we’re advancing a 10 megawatt renewable hydrogen project in California. This includes discussions with potential off-takers for electric power and heat energy and a separate off-taker for hydrogen gas, plus regulatory and legislative body seeking to promote the availability of affordable and renewable hydrogen for transportation. We’re advancing commercialization of our solid oxide fuel cell technology for power generation of storage application globally. We received contracts for both of these applications. Our product development is delivering expected world-class results. We’ll be making a site selection for SOFC power generation offering in early 2016. Our backlog in advance technology projects increased significantly during the quarter, the highest level we’ve had in the recent history, while the contracts themselves totaled approximately $36 million. The deployment value of these contracts can increase to nearly $200 million as project of scale are developed. This illustrates our strategy of leveraging public and private research funding to develop new market for our core technology. Please turn to slide 10, Strategy execution. In summary, we have a compelling business model that focuses on meeting customer needs, which supports our increasing backlog and uniqueness of our solutions, getting financing options such as those with PNC Energy Capital and NRG Energy is significant progress and an enabler of growth. We are bidding on multi-megawatt onsite in utility opportunities that we could not have bid on previously. We are leveraging our core product platform while increasing global capacity and expanding our manufactured facilities in a measured way. We have a growing backlog that stands at $380 million and a sales pipeline of over $2 billion from a broad range of projects. This pipeline value does not include potential service or electricity revenue which is significantly higher. We are making great progress during a time of transition of the power generation utility in energy industries globally. We have the solutions that people seek and the great folks to make it happen. Operator, we’ll be happy to take questions at this time.
Operator: [Operator Instructions] And our first question comes from the line of Sven Eenmaa with Stifel. Your line is now open.
Sven Eenmaa: Yes. Thanks for taking my question. Can you hear me?
Chip Bottone: Yes. Sven, good morning. This is Chip and Mike.
Sven Eenmaa: First, I wanted to ask, in terms of your energy revenues next year, what is the expected level of those revenues? What is expected gross margin of those revenues and how many megawatts do you intend to retain on your balance sheet to support those revenues?
Mike Bishop: Hi, Sven. Good morning. This is Mike. I’ll take that one. So, to answer your last question first, this new line from PNC Energy Capital is committed for $30 million of project. So, these will be 1.4 megawatt project, so that will be about three or four projects which will execute during the year. As we said in our release this morning, the first one is expected to be the UCI project which is built and is going through final commissioning now and there’s other projects which will come online during the year. On the slide we depicted revenue – total electricity revenue over the term, and these are generally 20-year PPAs that we enter into, are in the range of 18 million to 22 million. So, if you go over 20 years, it’s about $1 million a year of electricity revenue. So, as we think about these building up over this year, you’re adding four plus million a year of additional electricity revenue coming through our financial statements. Now that won’t all come through beginning in the first quarter, but it will come through over time.
Sven Eenmaa: And could you remind us what's the margin profile of that?
Mike Bishop: The margin profile as we showed on the slide, we expect margins for electricity sales to be in the low to mid 20% range which is higher than what we currently receive on service agreement which is mid-teens to low 20s, so improved margin profile from the company retaining these types of assets on balance sheet.
Sven Eenmaa: That's very helpful. Just to clarify on that PNC financing, which obviously is a positive for you guys, what is - since they will be providing a tax equity, will they take ownership of those plants at some point and you will have a turnkey sale as well or that's not the structure?
Mike Bishop: So, Sven the structure is, it’s a tax equity sale leaseback structure where PNC takes ownership of the assets through the sale leaseback structure under capital lease accounting which is what we’ll do on our financial statements. There is no revenue recognized from that sale, but you get the higher electricity revenue over time.
Sven Eenmaa: Got it. On the Beacon Falls project, what are the key dates for investors to look forward to hearing in terms of when is the siting decision expected and when do you guys have a decision of where they could go or no go in terms of construction here?
Chip Bottone: Seven, this is Chip. Let me take that. So, some of the key dates probably the one closest is the Siting Council on early January would put out a decision, which we expect that to be favorable based on the different meetings and public filings and things. As far as the - and there’s a bunch of work going on, contractual engineering and other things as well that we'll continue to work with O&G on, which will carry on until the bid day which currently is the latter part of January. Once the project is bid in and there’ll be others as well. That takes several months and there's back and forth questions and things like that. So, we could see an outcome of this thing in – some indication perhaps, the late first quarter or second quarter of 2016.
Sven Eenmaa: Got it.
Chip Bottone: I would just remind you though of one thing, that once you develop these projects, these are assets with a shelf-life. So there is - a good project will get finance one way or the other, is what I would say. So the fact that we’re developing this thing and frankly other people are spending money, there is more one ways to perhaps execute this contract, but right now the primary one focused on is biding into RFP.
Sven Eenmaa: That's very helpful. The last question from me is you indicated that, in terms of next year's outlook, you expect turnkey sales to pick up in the second half of the year. How many of those projects are currently in your backlog, or where do they stand in terms of your pipeline activity?
Mike Bishop: Sven, this is Mike. It’s a mixture and as Chip just mentioned, the Beacon Falls project, that’s a project that you could look to - that could come out of pipeline into backlog as that project progresses. That would be an EPC product sale to the owner of the project and other projects like that. So, I would say, it’s a mixture.
Sven Eenmaa: Got it. Thanks very much.
Operator: Thank you. And our next question comes from the line of Carter Driscoll with FBR & Company. Your line is now open.
Carter Driscoll: Good morning. Maybe you could elaborate on some of the discussions you had about New York pursuing a micro-grid strategy and maybe an update on the RFP activity you're expecting out of the island. And I have a couple of follow-ups.
Chip Bottone: Sure, Carter. Welcome. This is Chip. Let me take that. There is - specifically in New York, there’s a variety of things going on. At the highest level they are revising their strategy and talking about lot of different programs which are all - we're in the mix on that discussion which will have a favorable I think future to it. But specifically there are multiple types of programs that the state is doing. There's micro-grid projects that we’re involved with several of them. There is probably over 20 of them in the state either directly or through some other folks as well. LIPA themselves has multiple things going on from feed-in tariff projects that we’re participating in and trying to finalize to an RFP that's pretty sizeable for South Fork that we put proposals or proposal in for that. And then there is the expectation that LIPA specifically will have an RFP come-out this year sooner rather than later that will be even bigger. So if you kind of pull it all together, there is a lot going on in New York and I think more to come as they develop this REV document they call it in this year as well.
Q – Carter Driscoll: So if I heard correctly, you did say you believe the RFP from LIPA is going to come out before the end of the year?
A – Chip Bottone: Yes, well the end of '15 - I can’t tell you exactly when it will come out, I mean we are almost at the end of '15 but it was supposed to be out at the end of '15, it may come into '16 but there is already other RFPs that we responded to, it was my point, pretty sizable projects in Long Island and there is others in the works as well in New York.
Q – Carter Driscoll: Okay. Obviously, with the two financiers in place, that certainly is going to help your execution on your kind of shift in strategy and diversification of revenue. Is there potentially any change with the exit of Mr. Crane from NRG, who is obviously a very high promoter of their clean strategy? Is there any potential change in that relationship you envision as they separate those assets or even if it's not necessarily clear what they're going to do?
A – Chip Bottone: So Carter thanks for asking that question, we thought we might get that question on the call. So first let me turn it over to Mike to talk about, what we have in place right now and then I’ll give you some commentary on the business aspects of how we see things going forward here.
Mike Bishop: Yes Carter. The facility that we have with NRG is a committed facility with a five year term on it. We entered into that in 2014. So we’ve accessed the capital under that facility through 2019. We’re actively utilizing the facility on active project financing relationship with NRG and no changes whatsoever to that project finance facility.
A – Chip Bottone: So Carter that’s kind what we have in place. The other thing I would say that we have a board member Chris Sotos who is on our board as well and that remains in place. What I would say about the commercial aspects of NRG is, there is a lot of talented people in that company, we know Mauricio, the new CEO and a bunch of other leaders. And why I think I’m not going to comment on their strategy, I would say in conversation we’ve had with them, they would agree with us that the things that we offer are very valuable as far as the portfolio. So, well they might be taking some actions on some of their other assets, I think we have a path forward with them to actually increase our working relationship on the commercial side of things and then they have other assets in place such as NRG Yield and other things that we put assets in. So I think from our perspective here, we’re looking forward to moving forward with those guys after they made some changes in personnel and some other things.
Carter Driscoll: Okay. Maybe a question about the carbon capture. I know it's a process that is going to undertake over let's say the next 18 months. Do you - obviously the big deal that came out of Paris is still not necessarily nonbinding, but certainly a lot more verbal commitments from a number of countries to controlling the carbon issue. Do you see this issue changing the climate in the U.S. from a very top level? Do you envision a carbon tax coming down the pipe, or is this more reaction from utilities to the Clean Power Plan that has been finalized in this country? From a top level, it seems like a very interesting opportunity, and yet we've seen a lot of these kind of high-level pronouncements in the past, especially after Kyoto in 1997, and nothing really came from that. So, I guess I'm trying to get a sense of the magnitude of the real opportunity versus kind of the pie in the sky numbers that typically get thrown out there, and the timing of that versus the announcement you made with the DOE last quarter.
Mike Bishop: So, there's lot to answer there Carter to give it a shot. So first of all, without that new announcement I can just tell you that the people that have assets in the U.S. are taking action whether there is agreement on that or whether there is complete adoption of the clean power plant because we’re talking to these people. So they know that if you can, you do, we’re looking for those affordable solution it doesn’t create other problems and as you probably know in the field of carbon capture there has been quite a few projects out there that were expensive and were high cost and perhaps didn’t go as planned. I can tell you our reception from big utility companies in United States that have coal fired power plants with our strategy, with our price points of things like that, it’s been absolutely come talk to us, which is kind of nice. So I would say that that’s going down a very positive path and I’m satisfied with that and our plan is to go after the people that could really use our solution in large scale. So, for example this project that we have with the Department of Energy, we’re going to leverage that into a much bigger play which is really my comment. I think relative to the discussions in Paris what that's really done has naturally brought more interest outside of the United States to places like China, Korea, parts of Europe that perhaps had a different game plan now. It's not binding but I can just tell you that we have technologies in this country, in this company in fact that could do a terrific job for the folks in those other countries and we will be working that pretty hard. So I think that’s giving us a kind of nice wind in our sail relative more to international application of this but the market in the U.S. is going to move forward anywhere and we’re in a pretty good position to capture that.
Carter Driscoll: Perfect. I appreciate that commentary. I’ll get back in the queue.
Operator: Thank you. And our next question comes from the line of Jeff Osborne with Cowen and Company. Your line is now open.
Jeff Osborne: Good morning guys, and thanks for all the detail so far. I just had a couple of quick questions here. One is on the PNC front and just general financing that you're in discussions with today. Can you just talk about what the expected returns are relative to, say, the more mature wind and solar industry that banks obviously know well? Obviously, with Bridgeport up and running, there's probably an increase in some comfort versus two or three years ago, but I'm just trying to get a sense of what the perceived risk premium is for fuel cell technology from you folks versus, again, wind and solar.
A – Mike Bishop: Sure, good morning Jeff, thanks for joining the call. So, we’ve been obviously active for a while with PNC and others really understanding the marketplace chose PNC as a partner given their strong experience in the renewable and clean energy space, they’re obviously very active in solar. Our program is modeled after solar program with essentially 10-year sale leaseback structures, with the 100% loan-to-value type structure, fully monetizing the tax benefits and it’s something that we expect to grow with PNC overtime. The $30 million is representative of project that we have – have in development but expect to continue to grow this out. So we’re not going to get into exact details of the term Jeff, but I can tell you it’s comparable to what they’ve done with other players and other clean energy industries.
Q – Jeff Osborne: Great. That's good to hear. Maybe for Chip, can you talk about the POSCO relationship? You highlighted the manufacturing on the call, but what are you seeing from their efforts in the IPP space, both in Korea as well as from a broader Asia perspective of driving demand, especially as you have the Kitting relationship kind of winding down in 2016? How should we think about their ability fulfill the 100 megawatt capacity they have as well as potential capacity out of Torrington?
A – Chip Bottone: Jeff just - by the way thanks for joining. I think Mike was being a bit modest here but that PNC deal that he and his team worked on was a big deal, in terms of I think what you’re getting at is what’s the potential risk or so the risk premium and I'd say that risk premium has gone down. We were always jealous of some of the other renewable things wind and solar particularly that they’re expected return for our cost of capital were lower but we’re getting to that same zone. So I think it speaks to the maturity of doing the right projects and delivering what you say so -
Q – Jeff Osborne: That's what I was getting at with my question. I just wanted to make sure it wasn't some sizable risk premium that PNC was undertaken. My sense was that had collapsed. I just was looking for an affirmation of that, which it sounds like that's the case.
Chip Bottone: Right. So anyway, so back to POSCO, so, I mean, just operationally, I think I shared on the call where they’re at. They are doing what we said we’re going to do. I would say that from their perspective, I think we’re talking about perhaps some new technologies there that would enable them on top of what they’ve already built here, but new technologies that would allow them to continue to grow that pipeline of activity. And as you may recall they typically have projects that are pretty large, you know, they were the ones that did the large projects in the world. So I can’t go into the details of their pipeline, but their typical projects are 20 megawatts plus when they do something. So, but I would say that they’re going to execute on that. And I would see that we talk to them about more technology that allows them to both lower their LCOE, localized cost of electricity, or some of these other markets that just clearly demand for such as hydrogen or perhaps carbon capture out there in Asia.
Jeff Osborne: Got it. I just had two other quick ones, one for Mike. What is the kind of the key parameters that you would have us look at for achieving the upper end of the guidance range versus the lower? Is it a positive outcome with Beacon Falls and some percentage of completion revenue that would flow through late in the year for that to get to the upper end, or is there some other like the Killingsley site or something from Long Island that might mature? What are we thinking of that?
Mike Bishop: I’d say, all of the above, certainly Beacon Falls is the biggest example of that, but as Chip mentioned and you just mentioned there is other projects under development on the utility side of the meter. Now on the customer side of the meter as we’ve described we will put a pool of assets into this sale-leaseback structure. However, we’re still actively looking to sell projects to end users or project developers as well. So you’d expect to see some of those types of projects come through revenue recognition later in the year or two.
Jeff Osborne: Got it. And I just had a question on the tri-state RFP, and certainly some of the comments were interesting within NRG energy supporting the use of fuel cells for it a couple months ago with the responses. But can you just talk about, if you were to get a favorable outcome with Beacon Falls, how the field construction timeline - I think that goes through 2019 with the multiple segments of that matches up with expectations of the RFP from a power delivery perspective? So is there any gaps of like when you might have, say, call it a 20 megawatt block done with Beacon Falls that isn't participating in the actual RFP process, and so there is a disconnect between mechanical completion versus actually delivering electrons?
Chip Bottone: Jeff, this is Chip. Let me try to take that. First of all, there is certainly one RFP that’s out on the street right now in Connecticut that you’re referring to, that’s what we called the large RFP that’s basically 20 megawatts and above, okay. So right now the plan is that we will bid that in there with O&G being the lead, because they own the property and are the developer there. But yes, that’s going to be – its 63 megawatt, its several hundred million project, right, just a construction piece, not to mention the operating pieces even more, but the – if they start in 2016, I would see us - we have a mapped out plan with those guys based on other improvements we have to make to that site over basically the next 12 to 18 months. But in addition to that, we expect a 2 to 20 megawatt RFP to come out in Connecticut still in 2016. And then we have other projects that we have developed which are sizeable, greater than 10 megawatts and some might be bigger than 20 that we have the option to put into this upcoming RFP, wait till the other RFP by making them under 20 megawatts. So, we’re working very carefully with all the different projects and people that we have here to make sure that we can execute on these projects when we do it. And of course then there’s a whole discussion right now going on in Washington about the extender tax bills and things like that Jeff that we should get some color on that hopefully by the end of the year, see how that comes out which could modify our plan to production or deployment strategy depending on where that comes out.
Jeff Osborne: Got it. If I could sneak one more in, I know I said it was the last one prior, but I think you made reference Chip on the call that there's now more political support - I forget the words you used - in Germany as it relates to the feed-in tariffs or whatever. Can you touch on that? I missed that in the news, or maybe I missed heard you on the call. But what is the political environment in Germany as it relates to fuel cell power generation as it relates to E.ON and others?
A –ChipBottone: Yes. So let me start with E.ON. I mean obviously their business model now after they make the split Jeff, is try to be on they wants to continue to focus on distributed generation, we are doing there - there are several projects that we are talking to them about and that’s been very helpful. The specific law that I was referring to that just got modified in a favorable way is that there was a bunch of laws. But the CHP bonus is what I was referring to. The thinking for that that would run out at the end of 2015 and then you had your grandfather as long as you put projects in a ground by June of 2016. That has been modified with effort frankly from our folks who really lead the industry over there to something that now runs through 2017. But more importantly to that, they’ve said, the government also said that, short of that, when that expires, they want a program that continue to drive deployment of these kind of clean energy technology. So I am pretty pleased about how that worked out.
Jeff Osborne: Excellent. I appreciate the detail. Thank you.
Operator: Thank you. And I’d now like to turn the call back over to Chip Bottone for any closing remarks.
Chip Bottone: Thank you everybody for joining today and specifically to Sven, Carter and Jeff for the questions. As you can see here, we’ve been busy in this quarter and are very optimistic about what we have in front of us here. I think this recent announcement with PNC that really has a material impact on our ability to execute projects quickly and with continuing improved margin, it was always our strategy. As far as activity goes, specifically we have talked about $2 billion pipeline. I had to tell you that half of billion dollars of that was an increased quarter-over-quarter. So that’s where we’ve been spending our time which I think is time well spent. So as we align all these things we are doing here, Mike gave you the guidance that we talked about. We’re just satisfying the customers that we take onboard and I think our folks are doing a good job of executing this projects. With that said, we will be happy to talk more about that to next earnings call for the first quarter in 2016. With that said, I wish everybody a happy holiday and we will see on that call – for the first quarter of 2016. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. That does conclude the call. You may all disconnect. Everyone have a wonderful day.